Operator: Good morning, ladies and gentlemen. Welcome to CGI's Fourth Quarter Fiscal 2026 (sic) [ 2025 ] Conference Call. I would now like to turn the meeting over to Mr. Kevin Linder, SVP of Investor Relations. Please go ahead, Mr. Linder.
Kevin Linder: Thank you, Joelle, and good morning. With me to discuss CGI's fourth quarter and fiscal 2025 results are Francois Boulanger, our President and CEO; and Steve Perron, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 a.m. Eastern Time on Wednesday, November 5, 2025. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our fiscal 2025 MD&A, audited financial statements and accompanying notes, all of which have been filed with both SEDAR+ and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied, and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. A complete safe harbor statement is available in both our MD&A and press release as well as on cgi.com. We recommend our investors read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards, or IFRS. As always, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. Now I'll turn the call over to Steve to review our Q4 financials, and then Francois will comment on our full year performance and business and market outlook. Steve?
Steve Perron: Thank you, Kevin, and good day, everyone. In our fourth quarter of fiscal 2025, we continue to demonstrate discipline in the management of our operation while effectively executing on our strategy of deploying capital to generate superior long-term return on investment for our shareholders. This starts with our profitable SI&C offering that we grow organically and/or with M&A. Second, to bring our managed services and IP offering to existing or new clients to help them be more efficient. This offering resonates strongly during this more challenging economic period. Finally, our strategy focused on investing in CGI with our share buyback program to increase our EPS while returning cash to our shareholders. In the quarter, we delivered $4 billion of revenue, up 9.7% year-over-year or up 5.5% when excluding the impact of foreign exchange. Growth was driven by our recent business acquisition and continued demand for our APAC delivery centers with this segment reporting growth of 6.4%. There was also some planned runoff of lower margin work from recent acquisitions. In our U.K. and Australia segment, with our acquisition of BJSS, growth was 28%. This acquisition adds further scale to our U.K. operations, and we can now showcase the breadth of CGI's end-to-end services to new clients. Across our U.S. segments, combined growth was 5.7%, primarily driven by our Aeyon and Daugherty merger investments, and our pipeline of opportunities continues to increase as we bring our managed services, IP and offshore delivery capabilities to our new client relationships. IP remained steady sequentially at 20.5% of our total revenue, even as we add a larger proportion of non-IP revenue from recent business acquisitions. The vast majority of our IP continues to be delivered through recurring revenue streams. Bookings in the quarter were close to $4.8 billion for a book-to-bill ratio of 119%, led by U.S. Federal at 185%. U.S. commercial and state government at 136% and Western and Southern Europe at 117%. Of the total booking in the period, 45% were for new business. On a trailing 12-month basis, book-to-bill was 110% with North America at 120% and Europe at 102%. On the same basis, managed services had a book-to-bill ratio of 120% and the SI&C book-to-bill ratio was 99%. IP book-to-bill was 107%. Our contracted backlog reached $31.5 billion or 2x revenue. Turning to profitability. Adjusted EBIT in the quarter was $667 million, up 11.2% year-over-year for an industry-leading margin of 16.6%, up 20 basis points. Including restructuring acquisition-related costs of $122 million, earnings before income taxes were $516 million for a margin of 12.2% (sic) [ 12.9% ]. Our effective tax rate in the quarter was 26.1%, 30 basis points less than last year, and we expect our tax rate for future quarters to be in the range of 26% to 27%. Adjusted net earnings were $472 million, up $33 million year-over-year for a margin of 11.8%. On the same basis, diluted EPS was $2.13, an accretion of 11% when compared to Q4 last year. Net earnings were $381 million for a margin of 9.5% and diluted EPS was $1.72, impacted by restructuring and acquisition-related costs in the quarter. We finalized our restructuring program and related expenses in the quarter. Turning to cash. We generated $663 million in our cash from operations, representing 16.5% of total revenue, even when incorporating $43 million in restructuring, acquisition and related integration payments. DSO was 45 days in the quarter compared to 41 days in the prior year, impacted by recent business acquisitions. In Q4, we continued to allocate our capital and invested $81 million back into our business, which includes strategic investments in Agentic and Gen AI, $250 million on business acquisitions, $491 million to buy back our stock. And in addition, we returned $33 million to our shareholders under our dividend program. Yesterday, our Board of Directors approved a quarterly cash dividend of $0.17 per share, representing a 13% increase. This dividend is payable on December 19, 2025, to shareholder of record as of the close of business on November 21, 2025. With $2.4 billion in capital resources readily available and a net debt leverage ratio of 1, CGI has the balance sheet strength and capacity to deliver on our profitable growth strategy. CGI's capital allocation priorities have remained consistent, focused on investing back in the business and pursuing accretive acquisitions. Additionally, we expect to remain very active in our repurchase program. Now I will turn the call over to Francois to further discuss insights on the year and the outlook for our business and markets. Francois?
François Boulanger: Thank you, Steve, and good morning, everyone. CGI's strong performance in the quarter and in the year demonstrated our team's ability to execute with discipline in an environment that remained largely unchanged given the market dynamics. On a year-over-year basis, fiscal 2025 performance highlights where revenue increased 4.6% on a constant currency basis, with managed services up 6% in constant currency, in line with client demand given the challenging macroeconomic environment. EPS expanded 8.9% on an adjusted basis to a higher recurring revenue mix as well as proactive operational excellence actions. EPS accretion and share price growth are typically highly correlated. So we believe CGI stock is currently undervalued. Bookings were $17.6 billion, up $1.5 billion with full year book-to-bill ratios above 100% in both North America and in Europe on the strength of managed services, which were up 12% compared to last year. And cash from operations remained robust at $2.2 billion as a result of sustained quality delivery for clients. In fiscal 2025, we deployed over $3.7 billion, and we plan to continue our aggressive use of capital in 2026. Specifically, in fiscal 2025, we invested $368 million back into our business, which includes strategic investments in Agentic and Gen AI. $1.8 billion on business acquisitions, $1.3 billion to buy back our stock, and we returned $135 million to shareholders through dividend payments. As Steve indicated, our Board of Directors approved a 13% dividend increase for Q1 2026. Our investments in the buy strategy remain pivotal to our revenue growth as we closed 5 acquisitions in fiscal 2025, all accretive within the first year. We expect these mergers to drive future growth as we bring our full offering value proposition to new clients. These mergers expanded our geographic footprint and our end-to-end offerings, including in key areas such as AI, data, cloud and engineering. Subsequent to the end of the fiscal year, we announced an agreement to acquire Comarch, a leading IT company in Poland. Upon successful completion of the merger, which we will more than double our presence in Poland, we will incorporate new ERP IP solutions and digital transformation services. I would like to warmly welcome all new consultants who have or will join CGI from these mergers. Today, I will highlight how CGI is positioned to lead in the next phase of digital transformation, particularly for the majority of our clients who are large enterprise, commercial and government organizations. We are partnering with them to simplify and orchestrate digital complexity in order to advance towards AI-driven business transformation. For CGI, AI-driven transformation amplifies what we do best, delivering trusted client outcomes faster at scale. In short, we refer to our positioning as being the AI to ROI partner for clients. To bring this positioning to life every day, our 94,000 CGI partners are using AI tooling to develop and manage systems jointly with clients. These clients partnerships are based on our operational experience and perspectives on the digital complexity that is a reality for clients. Every organization, every government and every industry runs on an invisible digital infrastructure underpinned by billions of lines of code. This digital ecosystem powers everyday life, and it continues to grow in complexity with each business process, regulation and cybersecurity threat. With this context in mind, CGI's AI strategy is structured around 4 key pillars: First, embedding AI into our end-to-end services of consulting, systems integration and managed services to drive continuous innovation that achieves industry-tailored business results; second, leading with AI integrated platforms across CGI IP and alliance partner technologies to accelerate industrialization and transformation at enterprise scale. Third, uniting talent and AI technologies to amplify and augment human creativity, productivity and potential for both clients and CGI partners. And finally, accelerating CGI's internal AI adoption to evolve our processes, systems and delivery to be an organization that is designed by and for humans powered by AI. These 4-pillar strategy creates new opportunities to drive revenue growth and margin improvement on existing and future engagements. I will now talk through each of these pillars, starting with embedding AI into our end-to-end services. In consulting, our AI advisory framework applies CGI's expertise in change management and process engineering to simplify and rethink how work happens in the future. Offerings like AI LaunchPad and AI Maturity Assessments help clients identify, prioritize and validate use cases with clear ROI. Then our behavioral science-based methodologies for AI adoption and workforce readiness helps clients implement their strategies and build future-ready organizations. From a software development and systems integration perspective, CGI is accelerating delivery by incorporating AI across every phase of system development from requirements to deployment. We continue to train CGI partners on our integrated methodology and on tools such as Google Gemini Code Assist, Microsoft GitHub Copilot and OpenAI ChatGPT Enterprise. We are applying these capabilities along with CGI's AI native platforms of PulseAI, Digishore and NAVI to accelerate solution delivery and support legacy systems modernization. These tools, when applied with our AI-driven software development methodologies are now major productivity drivers. For example, just in cogeneration, which typically represents 25% of the system development life cycle, we see efficiency gains of 30%. Through CGI's managed services, we operate within our clients' most complex mission-critical environments, giving us a unique opportunity to embed AI responsibly, practically and profitably. CGI's managed services engagements have, for decades, included commitments to deliver ongoing productivity improvements. We have always evolved in line with innovation cycles and delivery models and technology from offshore to cloud. Our default managed services pricing models are outcome-based, meaning we commit to cost predictability and delivering results, not just inputs. This is an approach we are very experienced with and has contributed to improving profit and reinvesting in capability building. Now advanced AI, which we consider to be generative and Agentic AI, provides us additional levers to do this while continuing to create compelling client offers. For example, CGI's DigiOps suite helps clients industrialize AI within their managed services to drive efficiency and innovation at scale without disrupting core operations. Our modular approach works with any technology stack, including CGI's IP solutions as well as any technology platform our clients use. Today, DigiOps is in production for many clients with over 165 AI agents and over 2,000 automation workflows across industries such as retail, banking, communication and energy and utilities. DigiOps is becoming a growth driver and margin levers for our managed services engagements. As an example, for the run of applications, depending on the maturity of the business processes, we saw results such as up to 30% productivity gains and up to 40% faster resolution of operational IT requests. Across each of our end-to-end services, we are integrating AI by design into enterprise workflows and processes instead of using it as an accessory. With this holistic value chain approach, AI is tightly aligned and tailored to an industry which helps drive continuous innovation for clients. The second pillar focuses on leading with AI integrated platforms across both CGI IP solutions and alliance partner technologies. CGI's IP business solutions remain one of our competitive differentiators. In line with our multiyear strategy, we continue to invest in embedding advanced AI into our IP solutions with 65% of the strategic IP portfolio incorporating intelligent automation. We currently have a robust ecosystem of operational agentic solutions with over 200 AI agents across a wide range of CGI IP solutions, digital enablers and delivery accelerators. A key component of this ecosystem is PulseAI, which is CGI enterprise platform for building and scaling AI and applied intelligence. PulseAI currently has over 20 industry-specific agents that combine complex business reasoning with tools, data and multi-agent orchestration to take action, not just generate text. Turning to CGI alliance strategy. Our approach is intentionally to be highly inclusive with over 150 relationships with technology companies. This breadth of partnerships ensures CGI remains agile in selecting the best solutions to meet each client's unique needs in terms of technology stack and other business requirements such as addressing digital sovereignty. We collaborate through joint go-to-market relationships with all major hyperscalers, Google, AWS and Microsoft as well as leading software platform providers such as SAP, Salesforce and ServiceNow. We are also expanding our partnerships and client delivery with AI native firms such as OpenAI, Snowflake, NVIDIA, Databricks and Mistral AI. Our global alliance partnerships continue to drive new wins and client relationships with our fiscal 2025 alliance-related bookings up more than 120%. Well over half of these wins were new business. CGI's strength in AI delivery is also earning recognition from industry analysts who influence procurement decisions across industries. Earlier this week, we announced that IDC named CGI a leader in worldwide AI services for state and local governments. As a professional services firm, our third strategy pillar of uniting talent and AI technologies is among our most important investments. Through the use of Gen AI platforms, our teams have created more than 8,000 personal productivity agents to learn faster, unlock creativity and drive better results for clients and CGI. Naturally, our delivery of advanced AI services to clients relies on our culture of continuous learning, and it requires different skills and new ways of working. We continue to invest in the development of our consultants and experts for both today's needs and as technology innovation evolves. Our approach marries deep industry expertise with tool adoption, structure learning, project rotation and real-world experimentation. This hands-on access, coupled with our AI-infused offering is driving tangible productivity gains and accelerating our ability to embed AI within complex client systems. For CGI, it's also driving higher revenue per CGI partner as we saw this increase by 5% year-over-year. This is a trend we expect to continue. Our award-winning AI learning and certification programs provide multi-tiered role-based learning path from AI literacy to advanced vendor certified technical expertise. Currently, approximately 20% of our consultants have expertise in advanced AI and data, bringing this expertise to their work every day with clients. Continuing to develop and hire talent with these skills remains a top priority for fiscal 2026. Through our holistic talent strategy, CGI has continued to build an organization where advanced AI proficiency is not a specialty but a core capability. The final pillar of our strategy is accelerating CGI's internal AI adoption to evolve our processes, systems and delivery. Each of our enterprise teams are embedding AI to drive process efficiencies, enable faster decision-making and increase productivity. We are currently implementing or improving more than 50 AI solutions. Our most recent internal solutions launch is underway now. The CGI AI exchange enables our experts around the world to find, share and leverage reusable assets, innovation and best practices. This new hub will enable increased productivity, more predictable cost and lower risk through proven and repeatable solutions and promote entrepreneurship, one of our core values. For fiscal 2026, we are progressing the use of Agentic AI within our business processes to drive operational efficiencies, decision intelligence and service innovation. In summary, our positioning and what makes CGI unique for the AI wave is not rooted in height, but instead in the confidence we have in our proven ability to anticipate trends, embrace change and grow through nearly 50 years of technology innovation. In fact, our pipeline of opportunities that integrate AI in our offerings increased by nearly $5 billion compared to this time last year. Turning to the outlook. The high degree of market uncertainty continues to contribute to some caution among clients and their discretionary IT spending, notably for SI&C projects. However, the need for clients to simplify, modernize and secure complex systems and business processes will continue to increase. This means we do not expect to see a long-term trend of IT budget declines. We see most clients rebalancing their spend as managed services and AI integrated services help them reduce operational costs. In most cases, clients are planning to reinvest those savings to fund their backlog of monetization initiatives, all of which require technology partners to realize ROI. Demand for managed services remains robust, given the challenging economic environment in many of the industries where our clients operate. We see this demand reflected in our pipeline where managed services opportunities are up by more than $11 billion compared to this time last year. Before I conclude, I would like to give an update on our U.S. operations. We continue to work with our clients to help achieve their outcomes. While we are pleased with the Q4 bookings across our U.S. operations, government procurement cycles remain challenging, given the length of the federal shutdown and its related impacts, including some indirect ones for our state and local government clients. Given this and our current assumption of a mid-November reopening, we expect a revenue impact across our U.S. operations in the next quarter of approximately $60 million to $75 million and $15 million to $22 million in margin impact. Lastly, specific to the U.S. administration's changes to the H-1B visa program, CGI does not have a material number of new applications. Therefore, any potential impact would be manageable. In closing, we remain confident in our profitable growth strategy, which is designed to optimize total return on investment for our shareholders through new and expanded engagements to deliver AI outcomes, sustained demand for managed services given economic dynamics, continued M&A given the favorable environment and active deployment of capital through our share buyback and dividend programs. Thank you for your continued interest and support. Let's go to the question now, Kevin.
Kevin Linder: Thanks, Francois. Joelle. We can now poll for questions.
Operator: [Operator Instructions] Your first question comes from Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Maybe starting off on the federal side, I guess, putting aside the shutdown, based on the bookings you saw in the September quarter and based on revenue trends heading into the shutdown, does that change your level of optimism or pessimism with respect to how the federal business should do over the next year once the government reopens?
François Boulanger: Well, I think you saw the booking at the last quarter, 185%. So it was a very good booking, very happy to see that. I think at a certain point, the federal government needs to spend in IT. And that's what we were seeing. We were seeing a lot of momentum on the procurement side. But naturally, with this shutdown, that stopped for -- in October. So -- but when this will reopen, we think that growth will be there because they need to spend, and that's what we were seeing in the summer time frame.
Thanos Moschopoulos: Great. And with respect to the AI discussion, is there any way for us to think about the potential margin uplift you may already be capturing or that you might be able to capture over the next year or 2 as you adopt AI and to what extent you'll be able to get that benefit internally versus having to pass it on to customers?
François Boulanger: Yes. So two things. For sure, like we were saying in -- we're using a lot of AI in our managed services today. So that's helping us to give the benefit to our clients and win new business on that side and improving at the same time our margin because we are outcome-based basis most of the time with these clients. The second thing also when I'm talking about what are we doing internally with client zero to some point. So we will invest and we invest and we continue to invest, for example, in Agentic AI to optimize some processes. So expectation is that we would see even the SG&A -- CGI SG&A improving in the future with these automations.
Operator: Your next question comes from Robert Young with Canaccord Canada.
Robert Young: First question, you noted that the default for CGI is outcome-based pricing. If you could just narrow down in on that. Is that like as it relates to managed services? Or is it the consulting business? I noted some of your peers are highlighting pricing pressure. And so is this something that is a protection for CGI as it relates to pricing pressure? Can you just expand on that and how it compares to some of the peers in the IT services industry, that would be very helpful.
François Boulanger: Yes. Thanks, Robert, for the question. So for sure, on the consulting side, that's mostly time and material. And so that will continue in the future. And again, the fact that we have the expertise and especially on the AI side, the right expertise, people are looking for that expertise. So while pressure, you'll always have pressure on pricing, when you have the right people and the right value to bring to the clients, the price is the second lever and not the first. As for SI&C, we have what, perhaps 40%, 50% of our SI&C business or SI, sorry, business where it's fixed price. So using, again, some of these AI tools is helping us to increase the profit or the margin on our projects while hitting the right price tag or the price point for the client. So that's what we see in the SI side. And actually, on managed services, our majority of managed services contracts are outcome-based. And so again, it's a negotiation of having it at the right price point for the client. And after that -- and the percentage of savings that they want. And after that is to work on producing that saving and producing our margin needed. So we -- while like I'm saying, we're seeing the pressure every day, the fact that we're outcome-based is an easier way of producing the value for the client and having the right level of profitability for us.
Robert Young: Okay. My second question would be around the comment around higher revenue per employee. I think you said it was 5% and that it would improve or that, that trend would continue. If you could expand on that, is that being driven by AI? Or is it maybe better the growth in APAC and the addition of Poland? Maybe you just talk about where that revenue per employee growth is expected to come from and how it flows down to the operating margins.
François Boulanger: For sure, with the use of AI, we would expect that this revenue per employee will continue to go up because, again, these tools are helping our clients to deliver more with their same time. So that will help us to deliver more opportunities to our clients. So that's how we were looking at it. for sure, the fact of using India, an example, Poland will also contribute to this. But I would say that AI will be also a big factor in this.
Operator: Your next question comes from Jerome Dubreuil with Desjardins.
Jerome Dubreuil: The first one is on the forecasting power that bookings bring. Historically, it has been a bit uneven and obviously, 119% book-to-bill is very strong. So I'm wondering if M&A has an impact on the book-to-bill or if there's some sort of organic book-to-bill that you can share? I appreciate that your strongest booking deal is U.S. Federal and no M&A there, but if you can comment, please?
François Boulanger: Yes. But M&A by itself won't touch the booking because, again, when we're actually doing the acquisition or the merger, we are looking at their backlog, and that backlog is included in our backlog, and it's not going through the book-to-bill ratio. So we are starting to include the wins of these acquisitions at the date that we actually closed the deal. So the before is actually put in the booking -- in the backlog and not in the bookings. But on the other hand, the fact that we have these acquisitions, example, BJSS, it's helping to accelerate some of our discussion, example, on the managed services side. And we have a lot of clients of BJSS that we were capable of bringing them to India, for example, and we did the same thing with Daugherty, and to see our capabilities in the managed services side, and that's triggering some bookings on that side. But that's, again, after the acquisition and not before the acquisition, Jerome.
Jerome Dubreuil: Awesome. That's great color. Second one, I think it was excellent. The prepared remarks were very good in terms of what you're doing to -- in AI. If you can please maybe communicate because the market apparently thinks that there's going to be an impact from AI that it's going to be automating a lot of the implementation processes that you're exposed to. So I'm wondering if you -- what you're telling investors that are concerned by that or if you have data on whether implementation processes can or can't be automated with AI?
François Boulanger: Yes. Jerome, like I said in the text, we are seeing some savings. We are seeing some automation. And again, we are applying them in our day-to-day operations and to help our clients to achieve the savings. At the same time, we are dealing with very complex clients, banks with -- where they have thousands and thousands of applications, interfaces, and that needs to be managed, and that still need to have people working on that. And so AI will bring some savings, but you'll still need to have people to manage all that. And we are living in a complex world, and you need people to manage that complexity. That said, it will bring some savings. And naturally, by bringing these savings to clients, it will create new demand. And you'll see more, I think, more people will look at managed services and looking at specialists and people like us to help them in managing their infrastructure, managing their IT solutions, IT applications and bringing savings to them. So we're seeing that demand will go up for that reason. And all the savings that they can have also on the running of the application, we are seeing that they'll reinvest it back in their -- in systems and new systems. We don't see IT budget going down from clients. They will do more with the same amount or the same budget, but they won't go down. And they'll still need help from specialists like us who is investing a lot in AI, in our people, in our processes to help them succeed.
Operator: Your next question comes from Stephanie Price with CIBC.
Stephanie Price: Thanks for the color on CGI's AI strategy. I was hoping you could maybe dig a little bit deeper into the partnership strategy and talk a little bit about who your largest and fastest-growing partners are and how you kind of see that partnership strategy evolving over time?
François Boulanger: Yes. Well, again, like I said, we have partnership with all of them. And the reason is, is that depending on the region, depending of the industry, some partners are better than others to work with. And also, sometimes it's a choice of a client. So that's why we are talking to all of them. You saw also the announcement that we did this week with Snowflake and ServiceNow and UiPath, where we move up in their evaluation. So we are working with all of them, and we will continue. So we don't have any preference for 1 or 2 of them.
Stephanie Price: Okay. And then you mentioned some planned runoff of lower-margin work from recent acquisitions in the prepared remarks. Just hoping you could quantify that or -- and then talk a little bit about if you expect it to continue into future quarters.
Steve Perron: Look, it's Steve here, Stephanie. Thank you for the question. in each M&A, as you well know, CGI, we are working for profitable revenue. We want to make sure that when we are taking a risk in the revenue, we are getting rewards and we are getting the profit out of it. So obviously, when we are looking at M&A and integration of company, we are looking at all the projects that they have. And some projects are not to our expectation in terms of return in order to be rewarded for all the good work we're doing. And because of that, sometimes we are reducing the activity that we do for some projects. In terms of the volume, it won't be a material one. And usually, you will see that in the first year after the acquisition.
François Boulanger: But that said, I just want to reiterate, we are seeing a lot of synergy by putting these acquisitions together. Like I was saying, a lot of visits to our Asia Pac from these clients. And we will see some longer-term contracts signed with these clients. I'm convinced. We see a very good momentum on that.
Operator: Your next question comes from Surinder Thind with Jefferies.
Surinder Thind: Francois, can you maybe talk about just the demand trends within SI&C? It seems that, that part of the business continues to struggle at this point.
François Boulanger: Yes. It depends of the area. For sure, on the AI side, a lot of demand, a lot of consulting on that side and more and more implementation. I think the pure business consulting, that's still some struggle and especially in places like in France. But I would say that on everything that's related to AI, yes, it continues to be pretty in demand. So it's really depending on the demand, but I would agree that the business consulting is still pretty flat, if I can say.
Surinder Thind: Just a clarification, I guess, is the idea that we should expect the current growth rates organically to kind of continue? Do you see improvement here? It just seems like it's hard to get a picture of where exactly things are, I guess, and how they're trending on an organic basis.
François Boulanger: Yes. As you know, we're not splitting organic versus inorganic, and it's very tough to do it because, again, when we are integrating these companies, it's tough to understand what's coming from the old -- from the acquisition versus the legacy CGI, if I can say. And like I was saying, we are seeing good momentum on having both together and winning new services. As for example, for sure, I talked about the federal side. And again, we have a temporary headwind this or next quarter related to this. And so that's one thing that -- yes, it will be tougher in the federal side the first quarter. But if everything is going well and we can see end of the shutdown, we're expecting to bounce back in the second quarter.
Surinder Thind: That's helpful. And then just on the M&A side, just any color or commentary on just the pipeline of deals, whether you might be closer on more deals? Or how do we think about what you've done in the past 1.5 years versus maybe how you're thinking about what's coming in the next 12, 18 months?
François Boulanger: Thanks. That's a good question. For sure, we're seeing a lot of momentum on that side. We just -- like I said, we closed Comarch. We're still waiting for some approvals, but we're expecting really the formal close to happen in the next couple of weeks. And we are talking with a lot of other potential acquisitions. The evaluation went down. And so we need to take advantage of this environment, and we will continue to be aggressive on that level. We had a good 2025. And for sure, we need to dance. But like I'm saying, we have a lot of opportunities, and we think we'll be able to close some of them in 2026.
Surinder Thind: Got it. So it sounds like just on -- just to clarify the last comment, it sounds like with valuations down, you're willing to be a bit more aggressive on the M&A front?
François Boulanger: For sure, because the demand are -- when before we were talking about, I don't know, people wanted to have 2 and 2x and more on the revenue. This evaluation went down a lot lower. I mean now we're talking 1 to 1.5x revenue. So it's in our sweet spot. So that's why we think that we will be very aggressive on that. Like I was saying, the environment, it's a fantastic environment for that level. It's good also for managed services, like I'm saying, we are in an environment where people want to have savings. So managed services is the way. And I'm saying on the evaluation side for acquisition, they went down. So it's a good -- very good opportunity time for us.
Operator: Your next question comes from Paul Treiber with RBC Capital Markets.
Paul Treiber: Just a follow-up question on the M&A environment. The question is, how are you evaluating AI readiness and risks with M&A targets? Is it something that you're proactively looking at in your due diligence? Or is it less at the forefront?
François Boulanger: Again, we -- our strategy on M&A, like I always said in the past, we're really focused on buying relationship, client relationship. And that's a focus we will continue, especially in places like in the U.S. Like I said in the past, several places, metro markets or region in the U.S. were still underrepresented. So we want to have more -- so Chicago and the West Coast, for example, are good places where we're looking for potential acquisition for -- like I'm saying, to build a new relationship and client relationship. But for sure, expertise like AI expertise is also very important, and we are looking at it. And I'll give you the example. BJSS was one that you had a lot of AI expertise. And so that's one thing that we will also look in the potential merger, what kind of AI expertise that they have because, again, that's what is in demand today.
Paul Treiber: And secondly, the Canadian federal budget came out last night and the government is making or plans to make a number of large investments. Can you elaborate on CGI's footprint with the Canadian federal government and what you see as opportunities for CGI's growth with the federal government going forward?
François Boulanger: For sure. That's a great question, Paul. And yes, when you're reading the budget and the initiatives that they want to do, we see a lot of potential where we can help them, right? The first one is sovereign cloud. So they want to create a sovereign cloud. So that will have a lot of work to bring activities from public cloud and data from public cloud and solution from public cloud to their sovereign cloud. So a lot of exercise, a lot of work that will need to be done there. They want to do -- they want to have a more efficient government. So -- and they talked about implementing AI and automation. So again, they'll need partners like us to help them to create these AI solutions and the automation to achieve their goal of reducing expenses. And the other one is defense. And they talked about investing a lot on the defense side and on the digital and all the IT that needs to be supporting these defense initiatives. And again, that's a big portion of our business in other countries like in U.S., in Germany. We are a NATO partner for IT. So we see a lot of potential there and see how we can help them to bring what we have across the world and what we can bring to them. So it's very important. The fact also that they want to bring back some work in Canada. I think for a company like ours where we have a very good presence in Canada will be beneficial. And I think we can bring a lot of solutions to the federal government.
Operator: Your next question comes from Richard Tse with National Bank.
Richard Tse: Francois, about a year ago, I think you talked about elevating CGI's brand. And my guess is it was sort of to help you grow the U.S. commercial footprint. Where are you in that? And what sort of metrics are you monitoring to assess whether those investments are working?
François Boulanger: Thanks, Richard, for the question. Yes, it's still a focus of mine and the company. And one of the KPIs that we're following the most for that is new business. And this quarter, we had 45% of our booking that was new business, not necessarily new clients, but new business and a lot of them were new clients also. So that's how we are managing this. And also the alliances is helping us on that side and having -- working closer with them is bringing also new kind of business. You see also what we're doing with the industries, analysts like IDC that name us on the state and local for AI services. So that's the kind of work that we're doing with the marketing team, with the operations to be more visible with these analysts to be more visible with these partners. And again, the ultimate goal is to sign new deal with existing clients, but also more importantly, to bring new clients in -- and by the way, the pipeline is up by 30% for that -- for these new business, new clients.
Richard Tse: Okay. My second question has to do with some of your prepared comments on the increased demand in your APAC delivery centers. How does offshore play in terms of the increasing shift to AI? Does it sort of increase or decrease in importance there?
François Boulanger: I would think, yes, two things. First of all, we have the GCC thing, right? So as you know, a lot of companies are looking at opening their own GCC or captive in India. So that's demand. We see a lot of demand to help them to create that for them with a transfer optionality at the end of the contract. So that's still creating a lot of demand in this business. And so we see that continue in the future. As for AI, for sure, we balance the number of hiring in India because a lot of activities or some of the activities can be done now with AI. So for example, when we're doing our development of our IP, that's mostly all done in India, but with some of these tools, AI tools, it's helping us to do some automation on the coding side or the development of the code of these new IP. So that's helping to not having the same number of employees to do the work that it was done like 2 years or 3 years ago. And finally, in the managed services, they have the expertise to manage -- to do these managed services. So they have also the expertise of implementing these tools to help us. So like I was saying DigiOps, who's applying DigiOps, it's mostly our Indian colleagues who's doing it. We're doing it elsewhere, but a lot of it is also done in India. So I'm seeing still India as an important tool and way of generating revenue for the future.
Operator: [Operator Instructions] Your next question comes from Suthan Sukumar with Stifel.
Suthan Sukumar: For my first question, I wanted to touch on AI spending priorities here. What are you seeing with respect to how clients are thinking about their spending priorities when they start to realize some of the initial ROI from early AI projects. Just wondering, are you seeing savings being reinvested elsewhere with respect to other buckets of IT spend? Or are they doubling down on AI and more of the underlying modernization work needed?
François Boulanger: I think it's both. Right? Some of them are doing some investment in AI. And if they are seeing the ROI, for sure, they'll continue to invest on that side. But also, they had a backlog on the modernization side. For the last several years, they didn't do a lot of that modernization. So the fact that if they can find savings by the use of AI, at least that's what the clients are telling me when I'm meeting with these CEOs and also what the voice of our client is saying to us is that they need to find savings to tackle that backlog of transformation that they didn't do. So we are seeing that demand will continue on that side. The other thing also is on the data itself. it's nice to apply AI. It's nice to having your AI tool looking at your data, but still so much to do on the cleaning of that data and what's making sense, what's not making sense. So that -- and the security around the data, who can see what. And so again, a lot of work on that side that needs to be done. So again, I'm seeing data -- AI as a way of companies to resolve their backlog of transformation, and they'll need help. They'll need help from companies like ours. Same thing for business processes, same thing for security, cybersecurity with AI, naturally, it's bringing some risk on the cybersecurity. And again, they need people like us to help them to manage these risks.
Suthan Sukumar: Great. My second question, I just wanted to touch on recent M&A. Can you provide a brief update on sort of how integration is going and how that's tracking to your expectations? And with respect to potential synergies, what sort of early traction or potential are you seeing that might be better than what you expected initially with these acquisitions?
François Boulanger: Yes. I can start on the, say, opportunity side with clients and perhaps, Steve, you can give some color on the synergy side. Again, like I was saying a bit with the ones that we did, example, on Daugherty in the U.S. in the St. Louis and Chicago area, again, a place where we were not that well implemented. We have a lot of new clients and new relationships that we created. And again, we are showing to them. Daugherty was a great SI&C company, but without any managed services offering. And we came in and present to these clients, hey, we still have the opportunity to work with Daugherty great team. But more and above that, you are able now to tap on the overall CGI on the managed services, for example, and any other capabilities that we have. And it's working. We have several clients where we were able to sign new deals. And so it brought not just the revenue from Daugherty, but when I'm saying sometimes 1 plus 1 equal 3, that's what's happening in some of these acquisitions. So it's going well on that side, on the revenue, on the top line, on the savings side.
Steve Perron: The savings side, look, if you look at all the acquisitions we did, the ones that we did in the U.S. earlier in the year, obviously, that's now all integrated. BJSS and the German one also Novatec that we did in the spring time. It was more integrated during the summer. So now it's integrated. So obviously, the savings are coming a lot faster when we are using our system, when we are using our processes. And you can see the benefit of the synergies. Apside was done recently. So not yet all integrated into our processes and system. It's going to be done over the next couple of months. And with that, obviously, margin will improve. It's part of the plan. And -- but still, we are quite proud with the situation that we had in Q4 with the margin of 16.6% that we were capable of delivering even during this integration period for a couple of acquisitions.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Kevin Linder: Thanks, Joelle, and thanks, everyone, for participating. As a reminder, a replay of the call will be available either via our website or by dialing 1 (888) 660-6264 and using the passcode 14123. As well, a podcast of this call will be available for download within a few hours. Follow-up questions can be directed to me at 1 (905) 973-8363. Thanks again, everyone, and look forward to speaking soon.
François Boulanger: Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for participating and ask that you please disconnect your lines.